Operator: Good day, everyone, and welcome to Standard BioTools' Fourth Quarter and Full Year 2024 Financial Results Conference Call. As a reminder, this conference is being recorded. It's now my pleasure to introduce your host, [John Graziano] (ph) from Investor Relations. Please go ahead.
Unidentified Company Representative: Thank you, operator, and good afternoon, everyone. Welcome to Standard BioTools' Fourth Quarter and Full Year 2024 Earnings Conference Call. Leading the call today is Michael Egholm, President and Chief Executive Officer; and Alex Kim, Chief Financial Officer. At the close of market today, Standard BioTools released its financial results for the quarter ended and year December 31, 2024. During the call, we will review our results and provide an update on our financial and operational performance, 2025 outlook, market trends and strategic initiatives. During the call, we will make forward-looking statements about events and circumstances that have not yet occurred, including plans and projections for our business, our outlook for 2025 and future financial results, market trends and opportunities, and our expectations related to the combined operations with SomaLogic, including potential synergies and our business outlook for the combined company. These statements are subject to substantial risks and uncertainties that may cause actual events or results to differ materially from current expectations. The forward-looking statements on this call are based on information currently available to us, and we disclaim any obligation to update these statements except as they may be required by law. During the call, we will also present some financial information on a non-GAAP basis. We believe these non-GAAP financial measures are useful in evaluating our core performance and as a baseline for assessing the future earnings potential of the company. We use these non-GAAP measures in our own evaluation of continuing operating performance. We encourage you to carefully consider our results on a GAAP and non-GAAP basis. The reconciliation between non-GAAP measures and their GAAP equivalents are provided in the tables accompanying today's press release and as an Appendix to today's presentation slides. Please note that management will be referring to a slide presentation, including updated supplemental financial information within the webcast today. Following prepared remarks, we will host a Q&A session. Today's slide presentation, along with a replay of the webcast will be available on the Investors section of our website. I would now like to turn the call over to Michael Egholm, President and CEO of Standard BioTools.
Michael Egholm: Thank you, John. Good afternoon, everyone, and welcome to Standard BioTools' fourth quarter and full year 2024 earnings call. Joining me today is Alex Kim, our Chief Financial Officer. Before we dive in, I want to thank our customers, employees and investors for their continued support. It is what drives us forward and fuels our mission to set the new-standard in life science tools industry to empower researchers and accelerate discovery, while rewarding all of our stakeholders. 2024 was all about hard work, execution and transformation. We closed the year at the top-end of our revised range, demonstrating our team's commitment to deliver in a dynamic environment. We successfully merged two businesses under one-roof powered by Standard BioTools Business System, or just SBS. We exceeded cost synergy targets, improved our processes and delivered better products and higher quality to our customers. Phase 1 was just a start, and we are far from done. Now comes Phase 2, driving the commercial flywheel, evolving our product mix and expanding into key markets organically and inorganically, all while constantly applying SBS to further enhance efficiency as we drive towards profitability. With that, let us discuss our result of which I will be speaking to pro forma numbers. In the fourth quarter, we delivered $46.7 million in revenue and $175.1 million for the full year, representing a 9% year-over-year decline for each period. Performance for the quarter and full year was impacted by continued softness in Instrument and Services as CapEx constraints and cautious spending in biopharma and academia offset strong growth in Consumables. Stiff headwinds persist, but we are actually working to drive top-line performance through commercial execution, market diversification and expanded customer engagement. Although the year-over-year revenue declined, our fourth quarter performance landed in-line with midyear expectations, reflecting improved forecasting and disciplined execution. Looking ahead, we anticipate 2025 organic revenue between $165 million and $175 million, which is approximately a 3% decline at the midpoint of the range. This is a measured forecast and accounts for only modest optimism for a gradual market recovery. It remains a tough policy backdrop with several known and unknowns that we're not willing to call at this moment. Still, we are well-positioned for a return to growth and our outlook takes a measured approach that will allow us to maintain leverage against the top-line forecast, as we move through seasonality and gain momentum to boost performance towards the second half. Importantly, we are still on a path to adjusted EBITDA breakeven in 2026. While improved market conditions and return to growth will be helpful, we have a plan and option to improve our profitability, and we will be disciplined stewards of our cash should the current environment persist. More importantly, we have the balance sheet strength, nearly $300 million in cash, to execute our strategic plan, bring us to cash flow positive and fund future bolt-on acquisitions. We recognize that macro challenges are top of mind and creating a lot of anxiety and uncertainty in the market. While it's one of the most unique times in my decades of being in life sciences, I'll provide my perspective on three critical areas. First, the potential reduction in NIH spending. Our direct NIH exposure remains limited at less than 10% of revenue, while Americas academic exposure is approximately one-third of our revenue. The situation remains fluid, evolving day by day, but we anticipate that a reduction in NIH funding is likely to impact overall academia spend and priorities, particularly delaying capital equipment purchases. Our team has done careful analysis and research, which we have factored into our guidance, modeling a mid-teens percentage decline in Americas academic revenue, equating to roughly a high single-digit million-dollars at the midpoint of our range. Second, on the recent U.S. export control interim final rule, we have reviewed the regulations with council and have determined it does not apply to our CyTOF products. These systems are designed and manufactured in Canada, composed predominantly of non-U.S. components and shipped directly to China. As such, we assume no impact at the midpoint of our guide. That said, we continue to closely monitor the broader U.S.-China trade dynamics, including potential regulatory shifts that could impact procurement decisions. We remain proactive in managing potential challenges through regulatory engagement and supply chain flexibility. Third, the tariffs. We focus principally on our products made and shipped from Canada to the U.S., where most of our products fall under the United States, Mexico, Canada trade agreement. However, new import tariffs on Canada, ongoing China tariffs and potential reciprocal measures add complexity to the global trade environment. While we do not expect top-line impact, we are taking targeted countermeasures to minimize any potential effects. When possible, we'll pass cost on to our customers while balancing demand impact. If necessary, if we were to absorb these tariffs, we estimate a low single-digit million dollar impact to gross margin and adjusted EBITDA. The world is changing, markets are shifting and policies are evolving, and we continue to monitor developments closely. Most importantly, we remain laser-focused on executing our strategy, protecting our P&L and position the business for sustainable long-term growth. In an environment where growth is hard to come by, we remain fully focused on what we can control, driving productivity and cost management across the business. With the integration of SomaLogic complete, the benefit of these efforts are becoming increasingly evident. Throughout 2024, we operationalized $80 million in cost synergies, a full year ahead of plan, strengthening our operating leverage and lowered our overall spend. These actions resulted in a 22% year-over-year reduction in non-GAAP operating expenses, while delivering a 33% improvement in adjusted EBITDA in full-year '24 versus '23, reinforcing our commitment and willingness to appropriately manage costs absent top-line growth. Earlier this year and with full awareness of the macro environment, we made the difficult but necessary decision to implement an additional $10 million in cost reductions, primarily in research and development, bringing total operationalized synergies to $90 million over the past 12 months, and further tightening the belt to ensure we stay nimble in an evolving landscape. SBS is central to our success. It's a competitive advantage, and it's applied to everything that we do. I like to call it our not-so-secret weapon. Beyond the profitability metrics highlighted above, the impact on delivery and quality is just as impressive. In Q4, on-time delivery reached an industry leading 98%, up from 78% in Q4 of 2022, while customer complaints on our main instrument platform declined more than fourfold over the same period. These are leading indicators that reflect our unwavering continuous improvement, commitment, product quality and customer satisfaction, factors that ultimately translate into long-term profitability. At Standard BioTools, we are building a top-tier life science company, leveraging consolidation to overcome the sector's innovation bottleneck and inability to scale. Our goal is to become the preferred industry partner to build customers and innovators. We are focused on providing a portfolio of consumables, instruments and services in attractive end-markets, which shares a platform that drives quality, performance and profitability for stakeholders and shareholders alike. This brings me to our revenue mix for the year, which had Consumables at 34%, Instruments at 16% and Lab and Field Services at 33% and 14%, respectively. Consumable strength was more than offset by a reduction in capital equipment spending as customers remain cautious with their budget, as well as headwind in Lab Services due to variability in demand from a few select large pharma accounts. Before I go through the rest of the pyramid, I would like to double-click on our SomaScan platform, the crown jewel of our portfolio. For decades, genomics has driven breakthroughs in medicine and proteomics is the next big health transformation and is the next billion-dollar market opportunity for science research. The genome is important, but it is static, except in cancer. Proteins, the molecules that drive biology, on the other hand are dynamic, changing as we age, respond to disease treatment and our environment. Until now, proteomics research has been held back by legacy antibody-based technologies that simply don't scale. I'm emphasizing this not as a competitive comment per se, it is simply a technological reality. SomaScan, on the other hand, is pushing the boundaries of what's possible in proteomics. Using a DNA aptamer based approach, we already measured 10,000 proteins with unmatched precision, unlocking entirely new possibility with disease research and drug development. The momentum is real and the data keeps showing it. Just last week, a new preprint came out comparing SomaScan to competitor platforms, and the results were clear. As prior studies have shown, SomaScan provides a superior proteome coverage and lower technical variability. This cements SomaScan as the most comprehensive, most precise and most scalable platform for plasma proteomics. To unlock its potential, we had to match SomaScan scientific scale with commercial heft and a detection system able to scale outside a few labs. This is why we partnered with Illumina, the leading NGS provider, integrating our DNA based aptamer technology with Illumina's 2,000-plus NovaSeq-installed base. Strategically, our respective capabilities are highly complementary, and we came together to develop a product that will be a game changer, bringing distributed high-throughput proteomics to more researchers and commercial users than ever before. Just as NGS revolutionized genomics, we believe this marks an inflection point for proteomics, making large-scale protein analysis accessible and actionable at unprecedented levels, enabling far more insight into human disease. We are on track to launch in the first half of this year and momentum is building. We are seeing real-world validation in collaboration with Illumina, deCODE Genetics and a pharma consortium inclusive of GSK, J&J and Novartis, and we are analyzing 50,000 samples from the U.K. Biobank, generating one of the largest high-quality proteomics data set ever assembled. Meanwhile, Novo Nordisk recently showcased SomaScan's potential in Nature Medicine on covering new insights into GLP-1 drugs, not just confirming the metabolic and cardiovascular benefits, but also revealing the potential for smaller and faster clinical trials. These are tangible examples of how high precision, large-scale proteomics is transforming biomedical research. And this is just the beginning and demonstrating that we are here to help pharma make better drugs faster. This momentum is fueling broader commercial adoption with consumables leading the way. Consumables remain our most attractive product category, delivering double-digit growth in the fourth quarter and for the full year. This performance was driven by expansion of SomaScan authorized sites, Illumina early access program and elevated demand from our fluidics OEM partner. In this environment, Consumables continue to be a bright spot, providing consistent high growth, reinforcing its position at the top of the product pyramid and a key strategic focus moving forward. Turning to our Instruments. Revenue declined 25% in Q4 and 27% for the year with the biggest impact coming from our higher-priced mass cytometry instruments. While the instruments market remains challenged, we are actively working with customers to adapt to shifting purchasing behaviors and budget constraints. Our Omics-as-a-Service offering is a great example of this and an effort we are doubling down on. It leverages our full suite of solutions to deliver white-glove premium lab services to prospective customers. This helps customer outcome capital budget constraints currently facing the broader biopharma market while accelerating adoption of our products while adding to our assay Lab Services revenue stream. Service revenue was down mid-teens year-over-year in the fourth quarter and full year, driven primarily by SomaScan services, which remains constrained to a large -- to a few large customers. We are working hard to diversify our customer base to help mitigate this, and we are encouraged by the consolidated momentum -- sorry, by the continued momentum. Revenue beyond our top five accounts grew double digits year-over-year, a strong signal of a broadening adoption. As we roll out additional solutions to democratize access to this technology, we believe utilization will continue to expand significantly, positioning us as a leader in the larger proteomics market that commands a healthy mid-teens CAGR for years to come. It's an exciting portfolio. We are well positioned to capitalize on the transition from genomics to proteomics, as I just described. In addition to the SomaScan traction, spatial proteomics where our IMC product line, including the Hyperion XTi plays a role was named 2024 Nature Methods of the Year, a strong validation from the scientific community. Beyond our current portfolio, strategic M&A is part of our founding thesis and remains a core part of our strategy. The market needs consolidation, and we approach it with exceptional discipline as we look to identify and integrate high-value assets onto our platform. The current market, with all of its operational hurdles, present a unique window for us. Valuations are down, funding is tight, but innovation hasn't slowed. If anything, it's accelerating. This is exactly where we drive and it's bringing more quality opportunities our way at attractive valuation. A prime example is our recent acquisition of Sengenics, a strategic bolt-on that enhances our SomaScan service business with antibody profiling. Looking ahead, we have a robust pipeline with 4 to 6 strategic transactions targeted over the next 2 years. We're looking for derisked technologies, not science projects, with a clear path to commercialization, good margin potential and exposure to attractive end market. With this market correction, we are seeing tremendous opportunity, but it's one that requires a mindful approach. We're stepping carefully, evaluating each opportunity rigorously and moving only on deals that align with our strategic and financial goals. To wrap things up, we have a proven leadership team committed to continuous improvement with a track-record of driving growth, expanding markets while reducing cost. We have made significant progress over the past few years, merging two businesses, reposition the portfolio and driving operational efficiencies. Through execution guided by SBS, we've built a stronger, leaner and more resilient enterprise. But our work is far from done, and we are diving head first into Phase 2, focused on scaling the business, diversifying end-markets and shifting towards higher-margin consumables, while staying strategically active and delivering long-term shareholder value. With that, I will turn the call over to Alex. Alex, go ahead.
Alex Kim: Thank you, Michael. So I'll walk us through our financial results in more detail and provide some additional context. But first, I want to remind you that on an as-reported basis, our fourth quarter and full year 2024 results include the combined operations of Standard BioTools and SomaLogic since the close of the merger on January 5, 2024. While the same period in 2023 include the financial results of the legacy Standard BioTools business-only. Therefore, for comparative purposes, and as Michael has done, we think it is more meaningful to look at the results for both businesses combined. And so as I speak to our Q4 financial results, my commentary will focus on the pro forma combined results of operations for both Standard BioTools and SomaLogic for 2023 and 2024. Please refer to today's press release and the appendix to our investor deck for more information, including a reconciliation of GAAP to non-GAAP measures that I will be discussing here. Starting with revenue on Slide 13. Our fourth quarter of 2024 came in at $46.7 million and full year 2024 at $175.1 million, both down 9% year-over-year. Sequentially, from the third quarter of 2024, revenue grew 4% with a notable increase in instrument placements. Breaking down revenue further, Consumables grew 10% in the fourth quarter and 18% for the full year 2024. This was driven by strong kit sales to our SomaScan-authorized sites, as well as from the Illumina early access program. Traction of our authorized sites is a good validation of our distributed solution strategy. As our installed base across our portfolio continues to expand, we will focus on driving usage of our platforms and in growing this attractive recurring Consumable revenue stream. Instrument sales were down 25% in the fourth quarter and down 27% for the full year 2024, as capital spending in our end-markets remained constrained. While we didn't pick up on any material trends, we were encouraged as we saw a few pockets here and there of funds being released that drove a 53% sequential growth over Q3 2024. And in particular, we saw good growth of our Hyperion XTi spatial proteomics platform. Lab Services sales were down 18% in the fourth quarter and down 21% for the full year 2024. Historically, we have had high customer concentration. In 2024, as we've mentioned before, our top customers had smaller projects versus 2023. Recognizing this, we have strategically focused on expanding and diversifying our customer base. And we made good progress in gaining new customers in 2024 and reducing our customer concentration. Including our top 5 customers, our Lab Services revenue grew strong double digits for the full year. Our Field Services were down 10% in the fourth quarter of 2024 and down 2% for the full year 2024. Lower instrument sales led to lower installation services. And finally, our collaboration and other revenue saw one-time increase from our patent litigation settlement. Moving on to gross margins on Slide 14. Our non-GAAP gross margin on a pro forma basis was 52.5% in the fourth quarter of 2024 versus 55.4% prior year, and 53.0% for the full-year 2024 compared to 53.1% in 2023. As we mentioned in our Q3 2024 earnings call, we expected lingering gross margin headwinds and one-time costs through the rest of 2024. Year-over-year, our fourth quarter was impacted by lower volume and a few instrument replacements, partially offset by incremental improvements from SBS. We have made great strides, as Michael mentioned in improving the quality of our instruments, paying down our technical debt, and we believe this is now largely in our rearview mirror. As we head into 2025, strong SBS improvements in quality, yield and waste will offset lower volume and a negative mix shift to more instrument sales. More instrument sales, of course, is a positive thing for us as it drives both Consumable pull-through and Field Service revenue. Moving on to our operating expenses on Slide 15. Our non-GAAP operating expenses on a pro forma basis was $42.9 million in the fourth quarter of 2024 versus $56.5 million last year, which is a 24% year-over-year reduction, and $180.1 million for the full year 2024 versus $232.2 million in 2023, which is a 22% reduction. Our operating expense reductions are a result of the ongoing realization of merger cost synergies we've spoken of before. To remind you, when we announced the SomaLogic merger back in October of 2023, the combined operating expenses were annualized at $250 million. We set out an objective to achieve $80 million in cost synergies by the end of 2025. As we came out of our combined strategic planning and integration efforts, we were able to accelerate and operationalize the full $80 million as we exited 2024. And earlier this year in 2025, we further identified and took action on an additional $10 million cost reduction as we delayed investments in certain long-term R&D projects, as we look to continually prioritize the shorter-term return on investment initiatives. On Slide 16, our adjusted EBITDA was an $18.4 million loss in the fourth quarter of 2024 compared to a $28 million loss last year, which is a 34% year-over-year improvement, and $87.3 million loss for the full year 2024 versus $130.1 million loss in 2023, which is a 33% improvement. Adjusted EBITDA excludes onetime transaction, integration and restructuring costs, amortization of acquired intangible assets, stock-based compensation, among other items. A core tenet of SBS is continuous improvement, and we plan to continue to eliminate waste and improve productivity and thereby improving profitability while balancing reinvestment to the business to drive long-term growth. And this brings me to cash on Slide 17. We ended the year with about $295 million in cash, cash equivalents, restricted cash and short-term investments. Our total cash burn was $73 million in the fourth quarter of 2024. This included $55 million used to repay our convertible debt, and we now have substantially no debt on our balance sheet. We also had about $5 million in M&A transaction, restructuring and integration costs. Excluding the impact of these items, our adjusted cash burn plus CapEx was about $13 million, representing a 45% reduction versus the third quarter adjusted cash burn plus CapEx of $23.5 million. This reduction in cash burn was driven by ongoing realized merger synergies, continued expense management and improved collections performance in the quarter. Now as we look forward, our revenue guidance for the 2025 fiscal year is expected to be in the range of $165 million to $175 million. As Michael mentioned, we have modeled in headwinds from the current environment based on internal analysis, particularly with anticipated lower Americas academic spend on the order of high single-digit million decline to our business as well as potential tariffs impact on our margins with no impact from the China export controls. Beginning the year, we do expect the current environment to persist and then expect to build momentum through the rest of 2025. Beyond this, we expect growth in our instruments as pharma activity and global capital spending slowly returns, but offset by lower Field Service revenue from fewer service contracts on fewer instrument sales last year. We also expect growth from SomaScan services outside the top customers, as we continue to expand our service base and with our SomaScan kit sales to our expanding authorized sites and from the upcoming Illumina launch in the first half of 2025. Finally, we expect our collaborations and other revenue to be minimal in 2025. In spite of the current environment that we are navigating, we are well-positioned with our strategic plan and our strong balance sheet to support the growth of our business to adjusted EBITDA breakeven. Back to you, Michael.
Michael Egholm: Thanks, Alex. We thank you all for your continued support as we advance our mission and strive to set the new standard in the life science tools industry. We look forward to seeing many of you at upcoming investor conferences throughout March. And now I hand the call back over to the operator.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Matt Stanton from Jefferies. Please go ahead.
Matt Stanton : Hi, thanks. First one, I appreciate the color around what you're baking in the guide for the Americas due to some of the NIH noise. Would just love a little bit of color or feedback of kind of what you're hearing real time on the ground now that it's been a few weeks. Any comments you would be willing to share even if anecdotally? And then as we think about that high single-digit million headwind for the year, any more color to add just in terms of is that paused instrument demand? Is that consumables tied to lab activity? Just what's kind of baked into the analysis that you said you walk through there? Thank you.
Michael Egholm : Thanks, Matt. Great question. As I just stated here, we are laser-focused on running our business every day and safeguarding the P&L here and execute to the long-term strategy. With that, we are not seeing a lot yet, but anticipate that people will spend less in the Americas academia and probably consistent with what you have heard from others. Alex, anything -- any color to add?
Alex Kim : Yes. Maybe to add where we anticipate some of the impact is more on the instrument side, the heavier capital requiring the budget there, some impact on to our consumables and services, but the majority on our instruments.
Matt Stanton : Okay. Great. That's helpful. And then maybe shifting over proteomics and the Illumina partnership. I think in the prepared remarks in the deck, you called that out as an at least a $1 billion opportunity. I think that is maybe the first time you kind of sized that partnership with Illumina. Just given where kind of things have gone from early access and then as we think about the launch in the first half of this year, any more color you could add just in terms of how you expect that to play out or what you are penciling in for '25? Obviously, given the market size there, it doesn't take much to penetrate that to start to show up in a more meaningful way for you guys. So any more color on what you are kind of penciling in and expectations for '25 once you get the launch out there?
Michael Egholm : No, you're right, Matt. It is indeed exciting. And today, there are already billions of dollars spent in other areas of proteomics, but not where it really matters, which is plasma proteomics across thousands of patients. And as I pointed out, we are the only one that can read a substantial part of the proteomics. So very excited about the launch. I would also say that to get comps for the market, look at what's spent on LC-MS on one side and then what's spent on genomics. And then think about the informational content that is in the proteomic analysis as I outlined. So genuine excitement, and we feel very comfortable throwing the $1 billion number around for the opportunity here. Alex, maybe you can address what's baked into the forecast.
Alex Kim : Yes. We've mentioned this in the past. We have had strong Illumina revenue in '24, driven by development ramp-up and early access customers. And now as we shift into full commercial launch, we do expect an increase in Illumina revenue. But as they get new sites on board, it will take those customers' time to ramp up. And so we still expect '25 to be a transition year with stronger growth coming in, in '26 and beyond.
Matt Stanton: Super. Thank you.
Operator: The next question comes from Dan Brennan from TD Cowen.
Kyle Boucher : Hi, good afternoon guys. This is Kyle on for Dan. I wanted to go back to the guide. You don't have anything baked in for tariff impact and export control impact in China. Do you see any opportunity in China on the instrument stimulus side for your proteomics instruments?
Michael Egholm : We have a strong team in China, and we're seeing good traction so far and will keep absolutely pushing that. So certainly, looking -- this year looks better than last year.
Kyle Boucher : Got it. And then on the M&A side, you laid out the four to six deals '25, '26. You laid out some of the types of assets that you'd like to go after. But how should we think about maybe the size and timing of any of these deals?
Michael Egholm : We have a rich funnel. We are working this every day as we speak. And M&A has its own timing. So at any one time, we are working on multiple parallel deals. I did touch upon a bit on the criteria that we are looking at. It has to be a proven technology. We do not do science projects. They have to be derisked, and they've got to have a strong gross margin profile. So in other words, that they sit on the top of our value pyramid. And so we're looking at that as the lens here. But we are aggressive. We've done two major deals here over the last three years. And we did a tuck-in with Sengenics, where integration here just a couple of months in is close to the end of the road here for integration and now offering this up as part of our SomaScan services.
Kyle Boucher: Got it. Thank you guys.
Operator: The next question comes from Paul Knight from KeyBanc. Please go ahead.
Paul Knight : Michael, I don't know if this has been answered, but what's your target cash burn in '25?
Michael Egholm : I'll let Alex handle that one.
Alex Kim : Yes. We are not providing short-term guidance on our cash burn. But maybe to give you a sense, you could look at the second half exit rate and assume that we're going to continue to make improvements off of that. We feel like we've got a very strong balance sheet to even weather the current environment we are at and get us to cash flow breakeven and to fund some of these smaller bolt-on acquisitions. So we feel like we are in a pretty good position.
Paul Knight : I think the original cash flow breakeven was what, 2026?
Alex Kim : That was -- that's the adjusted EBITDA breakeven in 2026. That's correct.
Paul Knight : Okay. And then, Michael, if the NIH ended up, we're, I guess, kind of in effect a continuing resolution, if the NIH ended up and where we kind of get back to normal, which I think is mid-single, maybe better NIH budget growth, where would that put you in terms of what guidance could be?
Michael Egholm : I think we already bracketed the oral NIH impact. I would say, though, and maybe building a little bit on the answer to Matt's question before, we haven't seen impact yet on sales. Again, we're only a couple of months into the year or barely two months into the year. What we have heard is a lot of changed behaviors. And should this miraculously resolve in the short-term, I think we'll go through still a couple of quarters of changed behaviors. And so we feel comfortable with the guidance we've given here.
Paul Knight : Yes. And then last question, Michael, is with the joint product with Illumina, what do you think that addressable market size could be?
Michael Egholm : Yes. I was courageous here in putting out $1 billion market. I think that is conservative. I truly and genuinely believe that routine plasma proteomics is a market like NGS that will evolve in time and grow quite large. Think about it. We have one genome and other than in cancer, a little bit with the immune system, you don't actually need repeated sequence. You need it once for your proteome. A number of study and cases here where we would have to do the samples yearly or more or follow pre-treatment, post-treatment, et cetera. So the number of proteomes that are going to get enumerated are just mind boggling and certainly drove genomics. And then as I've shared here on recent conferences, the informational content you get from proteomics, while genomics is important and genomics and proteomics together add a lot, the like per dollar information content much, much, much higher from proteomics. And I mentioned a couple of studies here in the commentary, happy to share the references.
Paul Knight: Okay, thank you.
Operator: [Operator Instructions] This concludes our question-and-answer session, and the conference has now concluded. Thank you for attending today's presentation. You may now disconnect.